Operator: Ladies and gentlemen, thank you for standing by, and welcome to the United States Steel Corporation Third Quarter 2012 Earnings Call. [Operator Instructions] And as a reminder, this conference is being recorded. I'll now turn the conference over to Dan Lesnak, Manager, Investor Relations. Please go ahead, sir.
Dan Lesnak: Thank you, Cathy. Good afternoon, and thank you for participating in the United States Steel Corporation's Third Quarter 2012 Earnings Conference Call and Webcast. For those of you participating by phone, the slides that are included on the webcast are also available on the Investors section of our website at www.ussteel.com. We will start the call with introductory remarks from U.S. Steel Chairman and CEO, John Surma, covering our third quarter results; next, I will provide some additional details for the third quarter; and then Gretchen Haggerty, U.S. Steel Executive Vice President and CFO, will comment on a few financial matters, our recently completed labor agreements and our outlook for the fourth quarter. Following our prepared remarks, we'll be happy to take your questions. Before we begin, I must caution you that today's conference call contains forward-looking statements, and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent annual report on Form 10-K and updated in our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. And now here to begin the call is U.S. Steel Chairman and CEO, John Surma.
John P. Surma: Thanks, Dan, and good afternoon, everyone. Thanks for joining us. I expect for some under difficult circumstances, we appreciate you taking time for us today. We hope you're safe and secure and that things will return to normal as soon as possible. Earlier today, we reported third quarter net income of $44 million or $0.28 per diluted share, net sales of $4.7 billion and shipments of 5.3 million tons. The results included a charge of $0.13 per diluted share for lump sum payments provided for in our new labor agreement with the United Steelworkers, as well as 2 favorable tax items, which increased net income by a total of $0.27 per diluted share. Although economic conditions remained challenging in all of our markets and continue to be so, our Tubular segment had another solid quarter, and our Flat-rolled and European segments also remained profitable. Now before I go into more detail on our segment operating results, I would like to comment on safety, our company's primary core value. Our collective efforts are focused on achieving a safety culture that is owned by an engaged and highly skilled workforce, with the ability to identify and eliminate workplace risks and hazards. These extensive efforts continue to yield safety performance improvements, most notably in our days-away-from-work injury rate, which has been reduced by 8% through the end of the third quarter of 2012 when compared to the same period of 2011. These improvements were highlighted by a number of significant safety milestones we achieved within the company during the third quarter. For example, 12 of our operating locations have worked without a days-away-from-work injury so far this year. In our Gary Works, each Chicago tin division surpassed 2 years without an OSHA-recordable injury. We're proud of the collective efforts of our employees throughout all of our operations as we continue to pursue our goal of 0 injuries. We're particularly pleased with the productive cooperation of our colleagues at United Steelworkers who share our passion for the safety of our employees. And while I'm commenting on the USWA, we're pleased to have completed new competitive labor contracts last month without any disruptions to our employees, customers and operations. And Gretchen will comment on some of the details a little bit later. Now turning to our Flat-rolled operations, we reported income from operations of $29 million. Higher imports earlier in the year, in conjunction with lower domestic scrap and global raw materials prices, caused spot and index-based contract prices to decrease in the third quarter. Although imports eased slightly in the third quarter as U.S. prices receded, imports still remain a significant concern and on a year-to-date basis remain well above last year's levels and well above the modest increase in domestic demand. We realized some benefits from lower raw materials costs, particularly scrap, and our operators did a good job of controlling maintenance and outage costs in the third quarter. But these lower costs could only partially offset the significant impacts of lower realized prices. Our Flat-rolled shipments in the third quarter remained in line with the second quarter, as demand in most of the markets we serve remained relatively stable. As the markets in North America have done comparatively better than most other regions, this is a market that is likely to remain attractive to imports until global demand begins to improve. This makes the enforcement of our existing trade laws an important issue for our industry to provide a fair environment for a sustainable recovery. Now turning to our European operations, while economic conditions in Europe remained difficult, we reported an operating profit of $27 million, only slightly below the second quarter results. Steel prices in Europe continue to be adversely affected by a number of factors including oversupply in the region, continued concern over the Eurozone sovereign debt issue and overall lower demand. Combination of lower raw materials costs and the cost benefits from a good operating performance in the quarter substantially offset the effects of lower selling prices and shipments. While we anticipate a further improvement in raw materials costs in the fourth quarter and remain focused on our operating performance controlling our costs, we're likely to face even greater market challenges, as the lack of an economic recovery in Europe will likely result in soft demand across most of our markets in the near term. Our Tubular segment reported an income from operations of $102 million in the third quarter, in line with the second quarter, as the effects of lower prices and shipments were offset by lower substrate costs. Since the beginning of 2010, our Tubular operations have generated just over $1 billion of operating income. While rig counts remained relatively stable over the first half of the year, as the increase in oil-directed rigs offset the decrease in gas rigs. In third quarter, oil-directed rig counts began to decrease after reaching a peak in August, and gas rigs continue to decrease throughout the quarter. Now offshore activity increased during the quarter, as large operators continue to move back into the Gulf of Mexico, one of the few premier areas in the world that is not off-limits for independent oil companies. Shipments for line pipe were comparable to the second quarter as operators continue to develop the infrastructure in the number of the emerging shale plays. While natural gas prices are moving in the right direction, they remain challenging for most dry gas-only wells. Crude oil prices are in the range that is generally considered profitable for most of the active shale plays. However, end users are closely managing their inventories going into the end of the year and working to stay within their 2012 capital budgets. Drilling levels and pipe-purchasing activity continue to be affected. Tubular imports continue to adversely affect supply and prices in the U.S. market. And current market share for imports remains near 50% for OCTG, even higher for line pipe. And as I noted, in regard to the Flat-rolled imports, the enforcement of existing trade laws in order to keep unfairly traded material out of the market is critical, and we will continue to closely monitor import activity and pursue enforcement of these laws when appropriate. Now I'll provide a brief update on some of the important cost improvement and product development projects we're pursuing. Carbon costs continue to be the biggest market exposure that we need to manage. While our expectation is that our coal costs will be significantly lower in 2013, as you might expect, given trends in publicly available price data, we continue to pursue projects that will both reduce our coal needs and keep us out of the volatile and expensive merchant coke market. We're nearing the completion of 2 projects that will make our North American operations self-sufficient in cokemaking capability. We started the first Carbonyx module at Gary Works during the third quarter and expect to start the second module in the third quarter of 2013. These 2 modules will have the capability to supply 500,000 tons of coke products, a carbon alloy coke substitute, when they reach full production. At our Clairton coke plant, the C-Battery heat up and refractory expansion has been completed and on schedule. The final steel erection is in process and operating machinery is now being commissioned. First coal charges is expected to be accomplished in November. A production rate will be increased on a planned schedule, as battery heating is carefully monitored in full production at an annualized rate of just under 1 million tons is anticipated to be achieved in the first quarter of 2013. In addition to increasing our cokemaking capabilities, we're utilizing increasing amounts of natural gas in our North American blast furnaces as a very cost effective substitute for a portion of our coke needs, with the objective of reducing our coke rate by 100 pounds per ton of hot metal as compared to our 2010 coke rates. At our PRO-TEC automotive joint venture in Ohio, we are constructing a state-of-the-art continuous annealing line with the capability to produce up to 500,000 tons per year of advanced, high-strength steels to serve our automotive customer's need for a cost-effective way to meet the increasingly demanding fuel efficiency and safety standards in their future generations of vehicles. This project remains on target for startup in the first quarter of 2013. Now before I turn the call over to Dan, I'd also like to provide an update on the maintenance project we recently completed on our #14 Blast Furnace at our Gary Works, and on our fourth quarter blast furnace maintenance and outage plans for our Flat-rolled segment. As we discussed with you last quarter, we had scheduled a significant maintenance project on our largest gas furnace at our Gary, Indiana works. Our engineers and operators did an outstanding job and completed this project ahead of schedule and under budget. The repairs will improve yields and operating performance and will enable us to significantly reduce the coke rate through increased use of natural gas, moving us much closer to our overall coke rate target that I just discussed. For the fourth quarter, we're planning to complete maintenance projects on several of our other North American blast furnaces and related steel shops, and we'll know these individually is of the size and duration of the Gary Works #14 Blast Furnace project. In total, we expect our fourth quarter maintenance and outage costs to be approximately $25 million higher than the third quarter. Now I will turn the call over to Dan for some details on the second quarter. Dan?
Dan Lesnak: Thank you, John. Capital expenditures totaled $129 million in the third quarter, and we currently estimate the full year capital expenditures will be approximately $730 million. Depreciation, depletion and amortization totaled $163 million in the quarter, and we currently expect it to be approximately $660 million for the year. Pension and other benefits costs for the quarter totaled $128 million, and we made cash payments of $130 million. We expect pension and other benefits costs to be approximately $510 million in 2012, a decrease of $90 million from 2011 levels. In accordance to the prior agreement with the United Steelworkers, we will be making a $75 million contribution to our trust for retiree health care and life insurance in the fourth quarter. Cash payments for pension and other benefits are expected to total approximately $575 million in 2012. In addition to these payments, we made a $140 million voluntary contribution to our main defined benefit pension plan earlier in the year. Excluding a net foreign currency gain of $6 million, net interest on the financial costs were $51 million for the quarter. We expect net interest and other financial costs to be approximately in the same level in the fourth quarter, absent any net foreign currency gains or losses. Now Gretchen will cover some additional financial items, our new labor agreements and our outlook for the fourth quarter of 2012.
Gretchen Robinson Haggerty: Thank you, Dan. Our cash flow from operations remained positive in the third quarter, bringing our cash from operations in the first 9 months to just under $1 billion. We've generated free cash flow after cash used in investing activities and dividends of almost $500 million through September, and we have reduced our total debt by almost $300 million over the same period. We ended the third quarter with cash of $536 million and $2.4 billion of total liquidity. Now I would like to cover several items related to our new labor agreements that took effect on September 1. As we noted in our press release, we recorded a $35 million charge for lump sum payments of $2,000 per USW employee that were paid this month. We will have additional lump sum payments of $500 per employee in the second quarter of 2014. With regard to wages, we agreed to a 2% increase on September 1, 2013, and a 2.5% increase on January 1 of 2015. The new labor agreements also provide for benefit and planned design changes, which under GAAP accounting guidance, requires a remeasurement of our retiree medical and life obligations effective September 1. The discount rates that we used for the remeasurement was 3.75% as compared to 4.5% as of December 31, 2011. As remeasured, our OPEB-accumulated postretirement benefit obligation is $270 million lower than at December 31, 2011, reflecting a reduction of approximately $520 million resulting from the benefit and plan design changes, partially offset by an increase of $250 million primarily as a result of the reduced discount rate. We also had an increase in the market value of the assets for our retiree medical and retiree life plans. This year -- so along with the obligation reduction, the funded status of the OPEB plans improved by approximately $410 million at September 1. Also, after the remeasurement, net periodic OPEB expense is now projected to decrease approximately $20 million for 2012 and $60 million on an annualized basis. Now turning to our outlook for the fourth quarter, our results are expected to reflect continued weakness in the European and emerging market economies, as well as economic uncertainty in North America. We expect total reportable segment and Other Businesses operating results to be around breakeven for the fourth quarter, with decreased results in all reportable segments. We expect a loss for our Flat-rolled segment due to slightly lower average realized prices as well as lower shipments and higher operating costs. Average realized prices in shipments are expected to be lower compared to the third quarter as a result of cautious purchasing patterns earlier in the quarter created by the uncertain global economic outlook. However, market conditions have recently begun improving in North America, and we believe that we are already beyond the spot price trough of the fourth quarter. We expect new spot orders will be transacted for higher prices later this quarter. Operating costs are expected to increase due to scheduled blast furnace and other maintenance projects. Now for our European segment, we expect our results to be around breakeven. Average realized prices are expected to decrease, reflecting lower spot market and quarterly contract pricing. Shipments are projected to decrease compared to the third quarter due to lower consumption in automotive and other end-user industries. And operating costs are expected to decrease compared to the third quarter, primarily due to lower raw material costs. For our Tubular segment, we expect fourth quarter results to remain profitable but well below third quarter results. Average realized prices are expected to be lower, and shipments are projected to be significantly lower than the third quarter, as imports continue at high levels despite end users decreasing drilling activity in order to operate within their 2012 capital budgets. Inventory management by our customers may also be a considerable factor as we approach year-end. Our operating costs are expected to increase due to operating inefficiencies caused by lower production volumes. Now to minimize the cost impact, we have taken steps to balance our operations with our customers' needs, and we made adjustments at each of our operating locations. We will continue to evaluate our facility loadings and keep our production in line with demand. And lastly, we expect a minimal tax provision or benefit in the fourth quarter, primarily due to the full valuation allowance on deferred tax assets in Canada. That concludes the outlook. Dan?
Dan Lesnak: Thank you, Gretchen. Cathy, can you please queue the line for questions?
Operator: [Operator Instructions] Our first question is from Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: First question, I just wanted to, I guess, go straight to Tubular. You were expecting it to be weaker in the fourth quarter. But also in your prepared remarks, you also talked about the Gulf of Mexico as well too. Can you remind us how much leverage you have to the Gulf of Mexico in terms of margin expansion, and so forth, if we were to see more rigs hit the Gulf of Mexico in 2013?
John P. Surma: Well, I think in total, in the Gulf, I want to say there's 46 rigs running, something like that. So in total, it's a much smaller number than the 1,800 or so that include the land-based stuff. But the business that we typically would do in the offshore market would be larger diameter, heavier wall, would utilize our large-diameter mill in the Lorain. And the margins on that could be quite competitive. And if I think if the Gulf continues to expand, and we understand that that's what the plans are by some of the major operators, we have pretty significant leverage to that. In terms of total volume, it's not as much as there would be if the total rigs were back up to 2000. That was a much more pleasant circumstance, but it's quite profitable business and that we're hopeful that, that aspect of the market continues to expand as it has, and we'll do quite well there.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. Follow-up question here with respect to maintenance, in the last several quarters, we've seen you take sort of incremental maintenance over the previous quarter and so forth. Would it be fair to describe 2012 as a heavy maintenance year? And would you expect the trend to slow in 2013? Or is this kind of the new normal level that we should be expecting going forward?
John P. Surma: I think your observations are correct. It's been a pretty heavy year. We've charted this over longer periods of time, and we've had some periods when it might have been at this level. Keep in mind that we have more mouths to feed. We did add some capacity along the way. But it's been a pretty heavy year, and to be fair, back in the difficult times of 2009, in particular in '10, we didn't schedule as much work as we weren't using as much of our capacity during those difficult times. And I don't know exactly what the schedule might be next year, but this was a fairly heavy year, including those projects we have lined up in the fourth quarter, all of which are done -- or nearly done at this moment, I might add. So I think your observation is a good one. It was a pretty heavy year. I don't want to project into next year, but there was probably some work done this year that might've been done earlier, had the world been different for the last 3 or 4 years, it should set us up for may be a more stable environment the next couple of years.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Great. One final question. You mentioned that #14 is back up and operational. I was wondering if you can sort of give us your expectation with what kind of production uptick you expect out of it and kind of your -- and how does this change your coke to natural gas substitution with the project that's been completed?
John P. Surma: Well, on the latter part, first, the gas -- the furnace was stable, but we were running in a much reduced rate for the last year, plus or minus, just for safety's sake and to make sure it stayed stable. We did back on -- we're going to be -- we've done some work to make sure we have enough gas delivery capability to all the furnaces, particularly there. And we should be moving up quite a bit on the amount of injection at all the Gary furnaces now that that's been finished. And if our objective was 100, it won't get us all the way there by itself, but it gets a pretty big piece of it done. So I think we're -- and then when we get these other maintenance jobs out of the way, we put in some new lancets and things like that, new delivery capabilities. So I think on a run rate basis, as we end the year, we are hoping we're going to be pretty close to what that objective was. We'll let you know how we did when we talk about it next time around. In terms of total iron capacity, I don't have all the numbers in my head, but we probably were running somewhere in the order of 7,000 tons a day or something like that, maybe more, maybe a little bit less during the runup to this. And we ought to be going way past 8,000 up to more than -- somewhat more than that. We'll have to see how it goes. We want to take our time getting there. But it's a meaningful increase in overall yield from the furnace, should be much more improved with a much lower cost, with lower coke rates and higher gas utilization.
Operator: And our next question will come from Michelle Applebaum with Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence Inc: First, I want to complement you on the precision of the guidance this quarter. If you start from -- you're saying pretty much breakeven and then you've got your retiree expense and you've just guided to interest expense. It's pretty straightforward. I think most people are coming up, as I did, to an $0.80 kind of -- to a $1 kind of loss, which I think is great when you're in a volatile environment where you've got a price increase. Having said that, are there any moving parts that could surprise us in any particular direction on those kind of numbers?
Gretchen Robinson Haggerty: Michelle, I think really -- actually, we're trying to give some general guidance, acknowledging that the fourth quarter analyst estimates were at about a breakeven. They hadn't really been updated for some period of time maybe to reflect some of the dynamics in the markets that we're in. But we just felt we needed to kind of get people a little bit off of that. But there's lots of moving parts. There's -- each of our segments, there's really -- we can have pluses and minuses. We're just trying to give some general direction this time. And I think as far as the tax provision, tax benefit, we did put some disclaimers in the forward-looking comments. It's really a mix of earnings that can change that. That's our best view at this time. And so each of those pieces -- I mean, we probably have some potential pricing changes in each one of those segments, for example. So it was just our -- the best shot we could do at this point in time to try to help steer the community a little bit.
Michelle Applebaum - Steel Market Intelligence Inc: Well, it's great that you guys really stepped up in here because I think we're all -- I've never seen such a spinning wheel of pricing trends and cost trends in my career before. So speaking for all of us, it's not easy. So the most help you give us is great. So the second question is, you're talking about a pricing trough here, and so this is, what, the fourth or the fifth trough in the last 3 years, right?
John P. Surma: It's the most recent one.
Michelle Applebaum - Steel Market Intelligence Inc: It's the most recent trough. And I'm trying to disabuse people of the concept of cyclical trough because steel seems to have its own cycle. So can you talk about -- this is clearly the new normal. It's been 3 years of these kind of crazy 6-week, 6-month cycles. A, what can you do -- is there anything to do to fix that; B, how do you respond, what changes in your business are you making to try to deal with this ongoing extra-cyclical pricing trends?
John P. Surma: Well, Michelle, it's very hard to do much about the market. I'll just make a few observations. Our volumes -- taking in Flat-rolled, you're referring to, held up reasonably well in the third quarter and continue do so. And I think that reflects our strategy to try to develop our business with OEMs and others who we have confidence in and they have confidence in us. And we're going to get our share of their business, and the markets we're in have remained relatively resilient and not a lot of growth. But in some markets, some, and the rest have been fairly resilient. So we try to keep the volumes and utilization reasonably firm, and that allows us to have a decent cost structure and some ups and downs. And on the pricing side, we do have some different pricing mechanisms. It's in the appendix. You can see what they are, and they tend to imply a little more stability over time. But that means, of course, that it takes longer to turn the ship once the direction turns. So it's not foolproof by any means, but I think we're just trying to get to where we can have a stable position generally in the higher-valued products, generally in the more stable industries and have a little bit better base to build on because as you point out, the volatility is quite extreme. And one reason for that, this is just my guess. It's only speculation, of course. But if you look at the number of places where steel would reside between our shipping bay and when it gets to its final destination, whatever final product it's used in, there's fewer stops along the way and there's fewer shock absorbers. And so whatever change there may be economically comes through to everyone in the system, including us, much more rapidly, much more severely, much less shock absorption goes on. And we're going to have to find a way to live with that and make money in it, whether we like it or not.
Michelle Applebaum - Steel Market Intelligence Inc: Yes, I mean -- I think that the rush for the entrants of this price increase 3 weeks ago that you guys led, I don't think we've ever seen -- I think all your competitors followed within 2 days, right?
John P. Surma: Well, I don't know, Michelle. That's all been publicly reported. We just know what we did. We had some conversations with our customers because we thought it was appropriate to try to achieve an appropriate market price for our products. We can't speak for anybody else.
Michelle Applebaum - Steel Market Intelligence Inc: But the timing, I think, validates that all the customers seem to have come back at once. So your comment about no shock absorbers is validated by the market's behavior.
Operator: Your next question is from Sal Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Hey, I'm sorry if you can't hear me because the telephone lines are not working very well over here, but...
John P. Surma: No, you're fine, Sal. We can hear you fine. You're okay. Go ahead.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Great. First of all, John, you mentioned that the fourth quarter CapEx or maintenance will be about $25 million higher. What was the number in the third quarter for that by the way?
Dan Lesnak: Well, I guess we've been guiding quarter-to-quarter, and 3Q was about 40 over 2Q. So we've been [indiscernible] with just kind of the incremental change quarter-to-quarter.
John P. Surma: Yes. The absolute number we use for internal measurement and management, it's not really...
Gretchen Robinson Haggerty: Yes, it's not audited.
John P. Surma: It's not designed to be comprehensive. We just think that change is what you all tended to focus on.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: That's fine, and understood. The other thing is when I look at the guidance for the Tubular section with a significantly lower volume, modestly lower prices and operating costs higher, it comes out to be extremely low number which we haven't seen since 2009. I was wondering if we're talking about significant decline in the operating profit for the quarter?
Gretchen Robinson Haggerty: Oh, yes. I think that's what that leads you to. I think the rest of our guidance gets you there too, Sal.
John P. Surma: The channels are a little clogged high imports CPG, 50% plus or minus; line pipe, 57% is the number I think I recall; and pretty good pipe stocks all the way through the system, inventory is about 5 months the last number I saw it. The indexes, you can look at the price trends are down. And then with lower volumes running through the mills, our costs are -- they're okay, but they're not as competitive as they were. So you put all that together and it's likely to be a less profitable quarter than we had last time.
Gretchen Robinson Haggerty: And having said that, they are working -- they're always working on trying to keep their cost under control. So I was trying to give you a little guidance on that. But we've already taken some steps to adjust production in all of our facilities as necessary, and I'm sure we'll do more if that had to be the case, but...
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And the last question is on the coal side. How many contracts do you have come up for renewal? Is it all of it [indiscernible] change? And also, the stock market is down about $50, $60 on the -- late last year this time. Do you think that, that sort of pricing you could see for you impact -- to have a positive impact per ton next year?
John P. Surma: Well, I think it's essentially all of our met coal supply, Sal. We may have some carryover ton from this year, that's not uncommon. It's not a huge amount. But certainly, it's our total met coal, so it's may be 9.5 million to 10 million tons something on that order, including an injection coal if you put it all together. I glanced at the indexes the other day as well as you did, and I look back a year ago from this week, more or less, the benchmark was $2.50 to $2.60, I think. And the current -- the most recent one I saw was $1.45, $1.50. So that difference is what the market has done during that time. That isn't necessarily where we will end up with our discussions, and we're in discussions right now. So I don't want to get into specifics. That's not supporting. And our numbers will be different because of what we buy and where we buy it. And when we buy it, we may take a view that we'll not buy everything at once. We may have a little different view with that. But we will come back with a more specific review of that because it is a big number for us in January. But just looking at the overall trend of overall prices, one would think that our expectation should be for somewhat lower coal costs for the coming year.
Operator: Your next question is from Mark Parr with KeyBanc Capital Markets.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Sorry, I'm not at the desk, I'm on the road. But I was wondering if you could provide a little more color on this recent pricing move. We've seen raw material prices come down, I guess there maybe is a little bit of help from scrap in November. It doesn't seem like there's the kind of cost push momentum, though, to really go after a price increase. I mean, is what you've been saying coming from the demand side? And could you give us some color on kind of where you're seeing the demand recovery pick up?
John P. Surma: Well, for us, at least, demand through most of the year in the markets -- and we gave you some highlights in the slides, have been pretty sustained, pretty good throughout the year, not a lot of change. Automotive has been trending up; and tin is pretty good in the third quarter; appliance, okay. And so most of our markets, equipment markets have been okay. It's really the intermediaries where some of the change was, and there was a bit of a slowdown and a pause, lots of caution, understandably so. I think the intermediary service center and converters and the like were on the sidelines to some degree. I can only tell you our thinking is we're just trying to get a fair price for our product based upon what we judge the market to able to deliver, and that's what we are trying to attain right now. Our order rates have moved up quite a bit since we began having that conversation with our customers, and we think the supply-demand balance, as far as we can see in the markets we serve with our material, has us in a pretty good place right now.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay, I appreciate that. In terms of a follow-up, could you just give us an update on PRO-TEC, on the new continuous annealing line, and your update -- your most updated thoughts on how the new advanced high-strength steel programs are going?
John P. Surma: Sure. Well, the project is going well. As I mentioned just briefly my comments, it's on schedule and heading for commissioning and startup in the earlier part of next year. So I think we're excited about it. I think it's exactly what the market is looking for. Many of our -- all, I guess, of our important automotive customers are excited about it as well. We've always -- we've already had lots of discussions about specific parts and specific applications. I think it's part of a broader strategy of ours because the automotive market is so important to us to try to make sure we give our automotive customers a compelling reason to use our products. And in this case, it's a combination of strength because the grades of this line we'll be able to produce are way out in front of most of what's being used today. That, of course, then equates to a significant weight reduction, the world steel -- future steel vehicle program, which has the framework for all this. You can see publicly what those numbers look like. We have a manufacturing advantage in terms of forming and stamping and coding, and we've got a good value. So if put all that together, we're going to make a compelling case that our material is what they should be designing into models that are out 3, 4 years from now. If you like and you want to put a more sustainable view on that and take a life-cycle analysis of total carbon emissions from material production through end of use, including recycling, our material against any of the others looks really, really good on that basis. So we are trying to put together, and we think we have, a very compelling offer, and the CA line that we're excited about having on next year is a central part of that. So that's a long answer, I'm sorry, but it's something I like to talk about.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I mean, is there -- if you look at the customer response to what you're doing, it would seem that like it's pretty robust. I mean, do you think that there -- we would be thinking within the next 18 months of putting another one of these lines in, is there that opportunity?
John P. Surma: Yes. I don't know, Mark. That's a good question. That really depends more on what the consumers would want and how fast they would want it. My sense is that, that may be a bit on the early side. But if it was the case that there was that level of demand, nothing would make us happier than to do it again. I think that would be great.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: All right, terrific. And just one last question, if I could, just to get your updated thoughts on Fairfield. In terms of the steel shop down there, I mean, how's that facility unfolding? How's the blast furnace holding up? And do you have any updated thoughts on potentially moving forward the electrical furnace steelmaking down there?
John P. Surma: Yes, really nothing new to update on that, Mark, in terms of our thinking or plans. The furnace is running well, very stable. And we've got a good plan in place to give us some more time to think about that. In the meantime, make a pretty cost competitive environment and very good steel for both the Flat-rolled side and also for our pipe mill. As you know, we cast 2 grounds there as well. But the furnace is very stable. We've got a campaign of shock grading [ph] quite frequently, using a certain type of burden that allows us to make sure that the furnace stays stable. So we think we're in good shape there for some time yet.
Operator: Your next question is from Timna Tanners with Bank of America Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: I was glad to hear that you didn't have any damage from the hurricane. I hope everyone on the line is doing well. I had a couple of questions. I want to ask about on the cost side and going into the future, it looks like CapEx came down for the quarter. Just wondering if you're kind of rethinking projects in light of the market environment. And similarly, SG&A is as low as it's been in the last couple of years. Can you give us some detail on what you've been doing to cut cost, or how you're thinking about SG&A -- CapEx going forward?
John P. Surma: Sure. I'll let Gretchen maybe comment on SG&A. But just on CapEx, we have certain projects authorized, and there's a steady diet of smaller things we do all the time for staying in business: environmental, energy, efficiency, safety and other things that just have to get done from time to time. We have not launched any major new projects recently, and we're finishing up several big ones, as I've just mentioned. And like everyone else in the world, I think we're approaching big projects right now with caution and trying to make sure that we have a pretty good view of the world going forward. Quite frankly, we don't. We're not sure what the world is going to bring. The next 3 to 6 months could be important, one way or the other. I hope in a positive way, but we don't know or no one does, as we know. So I think we're -- our CapEx doesn't have -- do not have any major new projects in it. We are looking at iron ore, we're looking at DRI, all those sorts of things and projects in Tubular, et cetera. But we're maintaining a cautious view right now. I'm not sure where the world is going to go. So I think we have things that can add value, and we'll fit those in. But we want to make sure we can maintain our capital spending through operations, and we don't want to borrow our way to prosperity. There's lots of examples that, that doesn't work, so we're going to try to make sure we can live within our means. And until we have better visibility, we'll probably not have a lot of major new projects launched. Gretchen, SG&A -- other than just trying to keep an eye on cost. But go ahead, Gretchen.
Gretchen Robinson Haggerty: Right. And the only other one thing that I would add to what John said on the capital spending side is it's exactly right, and I think the last quarter, we had a capital spending of $780 million. Now I just, in the interest of full discussion here, I -- that we did have some heavy equipment and things like that in our plans, which we managed to acquire through operating leases rather than capital spending. And that's a big piece of the difference between the $780 million and what our current guidance of $730 million is, but we have been managing it very, very carefully. And I think that John's view about wanting to spend at the right levels is absolutely true. On the SG&A side, we are going through our annual budgeting process just as we speak. And I'm sure that we'll have some opportunities to try and reduce that. We do tend to have a big piece that comes out in benefit expenses, and we won't know what that's going to be until we remeasure things at the end of the year. But the -- I don't think that we have any major plans to talk about right now that are going to result in significant SG&A reductions. We are implementing a systems effort, which is going to still take some time. And so while -- there's a certain element there where we would expect to have some reductions over time, we're really not in a position to do that right at this moment because we're still going through the implementation, and that requires some effort.
John P. Surma: And Timna, I wouldn't want you to think based on my answer, we're not looking at very attractive capital projects. We have a long list. A lot of them on the Tubular segment, whether it's on the threading side or some of the small diameter things, we're thinking about it, Lorain, or in the large diameter mill. We've got lots of opportunities with good ROI potential, just a matter of fitting them in at the right time.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay. That's helpful. If I could, my second question was on Tubular. And looking past even the quarterly guidance you gave, we know that Vallouric, I think, is supposed to start up its operations in Ohio in the next quarter or 2. And on top of the de-stocking and on top of the imports, how long will it take for the recovery, and how do you think about the greater capacity coming into the market? What will it mean to your operations?
John P. Surma: Yes. Well, I mean, all we know about the capacity is what we hear from folks like you and what we read. So but we're aware of a number projects, and we expect that they'll be completed at some point. I think the long-term prospect for energy development in our country is good, and really has to be good. I mean, it's one of the best things our country has. And so it should be the centerpiece of any economic package that no matter who's in charge should want to make a big piece of it. So we think the energy markets are going to be very strong for an extended period. We think there'll be a great need for pipe. There's a lot of wells to be drilled. The speed of that development can depend to some degree on public policy, to some degree on how quickly markets adjust to availability of large amounts of gas. And we think that if imports are fairly traded, then there should be plenty of room for additional manufacturing in North America, which ought to be very cost competitive just like ours is. We think we've got good facilities, great facilities, both Seamless and ERW. We've got a complete complement of line pipe sizes, we've got threads, we've got couplings, we have services. So we think we're well-placed. We're going to do well in the market no matter what. But if anything, the import share really should diminish if, in fact, imports are fairly traded. And that's a big question mark in our mind right now.
Operator: We'll go next to Arun Viswanathan with Longbow Research.
Arun S. Viswanathan - Longbow Research LLC: So I guess my first question is, what is the outlook for any kind of trade help on the Tubular side? And there has -- that has been the biggest problem, that the imports in pipe are much worse than many other markets, so maybe you can just comment on -- your thoughts there.
John P. Surma: Well, there's not much beyond -- I can't say much beyond what I said, or we said in our prepared remarks. I mean, we watch that very carefully. There are certain regions, 3 in particular, that have import flows that are very large quantities, way over where they have been in recent periods, and landed prices that just have to be at a level which is below cost. So we see that, we review that, we analyze it. In the U.S. system, of course, it's a judicial matter and there needs to be a legal case taken. We don't mind doing that. I think the record is pretty clear when we think our rights have been aggrieved; and where we think we have a strong case, we can win. So it's just -- for us, it's a matter of gathering information, analyzing things and, if necessary, if we feel that we have been affected by and our laws have been abridged, then we'll take an action. But it's a legal matter, and I really can't go much beyond that. But we're watching very carefully.
Arun S. Viswanathan - Longbow Research LLC: Okay. And I guess another question I had was, how does this period compare to last couple of fourth quarters? I mean, it looks like every fourth quarter, there's a little bit of blip in pricing ahead of some restocking in the first quarter. Are you seeing that again? And is that giving you some -- a little bit of optimism about the market right now? Or is it different this year versus '10 and '11?
John P. Surma: Well, it's a very good question. I think there always is, at the end of the year, some elements of budget constraints, some element of inventory minimization for [indiscernible] and tax. There is a whole bunch of reasons for it. But -- and it's probably been with us or was with us I think in the last couple of years, but it was in the context of, generally speaking, an increase in rig count. So it might not have been as visible and it might not have had the same kind of impact that we're seeing right now. And I think the general observations we made are quite similar to what many of the oilfield services companies have and their observations as well. So I think those things are always there to some degree. Usually, when the calendar turns, they tend to fade away and the market returns. But it's going to depend a lot on how active the development companies are and what their budgets are like. And our hope and expectation is it will be a pretty good year next year, but really remains to be seen where the price structure is going.
Operator: We will go next to Brian Yu with Citi.
Brian Yu - Citigroup Inc, Research Division: My first question is a follow-up on your CapEx. You mentioned that there's really nothing major from next year. And I'm just looking at my notes, it looks like it maybe sustaining CapEx around $450 million to $500 million. Is that a reasonable estimate?
Gretchen Robinson Haggerty: Well, I guess if you want to think in terms of -- it's probably not a bad base infrastructure estimate. If you -- I always go back, Brian, to -- if you look at 2009, when we were really just trying to cut back capital spending as much as possible. And we did continue with some projects there, but we almost worked it down to about $400 million at one point and we ended up spending $470 million that year. So I think that's probably a reasonable rule of thumb. But I think that if you look on average, maybe from '04 through '08, it's more like $700 million or something. So I mean, I think that it's more -- we're going to be at heavier levels, I think, than the $450 million. We do have to finish our -- we're going to have spending into 2013 for C-Battery and the Carbonyx units and things like that. So, I mean, I think I could see us spending more in the $700 million or $800 million or plus range depending on what our opportunities are. But we'll get into that in January with our board.
Brian Yu - Citigroup Inc, Research Division: Got it. And then the second question, on a similar line, just from an investment side, John, you mentioned DRI EAF and it looks like everybody's getting a free look at TK's Calvert facility. When we think strategically, what would be more compelling to defer the management team and the board, is it to try to improve the cost structure, with the DRI and EAF, or try to go to the top line with value-added mix with potentially TK's plant?
John P. Surma: Brian, the easy answer is both, I think. I think -- and...
Brian Yu - Citigroup Inc, Research Division: Given capital constraints.
John P. Surma: And we've been doing both, if you note. And when we did do an important top line project at Lorain, our new heat treat and threading and processing facility at Lorain, $100 million worth, at the same time we're spending a lot of money on the coke batteries to make sure our coke cost and carbon costs stay well in hand. The opportunity for DRI and EAF we find attractive because with our own ferrous resource, if we were in a position to do that, that's very -- the economics are very, very attractive. And likewise, the potential for adding some additional finishing capabilities perhaps if that was in the cards because there are some markets which we find very attractive that may have some growth in them. That's all good. But I think for the mega projects, particularly on the hot-end side or on the steelmaking and iron-making side, the length of time, the amount of capital against the uncertainty that's in the future today is a pretty big lift for us, and we're being very cautious about it.
Operator: And our next question will be from Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: Actually, a couple of questions. First, on the Tubular side, I just wanted to touch on pricing. And I know you have contract business in place, and that I believe they get reset every 6 to 12 months and then they do it all over. So can you give us a sense of sort of when those are going to be renewing -- or what percent is going to be renewing? And how do you think about the near-term given your guidance for 4Q?
John P. Surma: On Tubular, Richard?
Richard Garchitorena - Crédit Suisse AG, Research Division: Yes, yes.
John P. Surma: Yes. No, on Tubular, we don't have much that's long. Most of our pricing on Tubular is either monthly or spot negotiation, or on what we would call our program business where we and a group of customers agree on so much capacity allocated to each one. That's generally based upon some periodic negotiation pricing but not real long-term. So we're caught up to market prices pretty quickly, and not anything that's out very long on the Tubular side.
Richard Garchitorena - Crédit Suisse AG, Research Division: Okay. That's very helpful. And then on the contract note, any discussions with the automakers, I guess, for next year, and anything you can say directionally?
John P. Surma: No. I mean, we're having some discussions, but as you know, that's something we'd rather finish before we talk about it. And even then, we're cautious about it, just to be a good sport. But I think it always depends on where you're coming from and how -- what the last contract date was and what the price contractions were then, given where we are today and maybe some direction in the market versus last year, which was a little higher, but the direction was down at this point. I don't know. I guess our sense is that probably things stay fairly stable next year. And we have a good bit of our contract business, which is -- and you can see this in the pie charts in the appendix, it's index-responsive, so you can follow that, keep score on that to some degree. But on those contracts that are firm or firmer, cost base, probably some stability in those, not big changes either way.
Richard Garchitorena - Crédit Suisse AG, Research Division: Okay. If I can just ask one more question on Europe. You are guiding to breakeven this quarter, so that's a meaningful decline versus the third quarter. Can you talk about the environment there? You talked about pricing and troughing in the U.S. What are you seeing, I guess, in Europe and looking forward to next year?
John P. Surma: Well, things in Europe are very choppy right now if you look at just the current economic stuff. The flash PMIs and all that, well below 50 in recession. I think the world steel forecast for the EU27 for 2012 was apparent steel use down by 6%, I think, something along those lines. So we're going to get our share of that. Although, given where we are in Slovakia in the B4 region with some decent position in automotive and packaging and some German-based manufacturing, we've done a little better than that and our -- you can see our utilizations and volumes have been relatively good -- not good, but relatively compared to anybody else good. I think it's going to be pretty slow in Europe certainly for this quarter as we suggested. Auto production, which we have a piece of, directly and indirectly, is way off; manufacturing off; construction continues to be very difficult in the -- that austerity land part of the world. So there's not a whole lot of good news in Europe. But on pricing, things are very, very competitive. And whether you're coming from the West, from the East, from the South, from the North, things are very competitive, and I expect it's going to stay that way for a little while. So we're focused really on our cost and our market to make sure we're selling the right things at the location where we have some decent logistics too. But we have a really good cost structure, operating cost structure, really high productivity, good logistics on materials and very competitive cost in materials. So we think our cost structure is as good as anybody, and we're going to focus on that and try to keep our cost as low as they can. And for us to be able to make money quarter-after-quarter recently in that environment, I think, is something we're very proud of our people for having pulled that off.
Operator: And our final question will come from David Lipschitz with CLSA.
David A. Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: So if you look at the shipment data, auto is strong, energy is pretty strong. Construction, I guess, is the only thing that's still relatively weak. What kind of increase in -- and I meant construction, do we need to get to a point with the capacity that we have now to where prices can stay at higher elevated levels?
John P. Surma: That's a good question. And when you, again, look back at the different industries that we see and serve and can conclude about a bit, and take a look at where the industry is today versus pre-recession days, I think in the world steel -- most recent world steel forecast, which just came out a couple of weeks ago -- and it's a little dated, but it's probably good as anything. I think if you take a look at the forecast in world steel for either NAFTA or the U.S., they're both similar. The increase -- the rate of increase since apparent steel use in 2012 over '11 was up pretty handily, a little less, but still growth forecasted for 2013 over '12. But at the end of 2013, I think NAFTA is at 92% or 93% of 2007. So we're still pretty far behind where we were then. And there is some, depending on how you view it, changes in capacity at least since then. And probably the biggest miss in terms of overall steel-consuming sectors is construction, both res and non-res. And if you believe the signs of life that you've been reading about recently from home builders and others that there's some pent-up demand, and if that's going to start to come back, we have no idea if it's true or not, but we sure hope it is. And then that begins to lead us towards some nonresidential construction which we have a piece of. That would be a big step to get back to where the supply-demand balance in today's world would allow us to have the kind of price stability at levels that sustained a much better return back then than we did today. So if you go true-up -- it's a long route, I know, but even if the world steel forecast comes true, for '13, we're still only a little more than 90% of the way back from where we were in 2007, and construction is the biggest miss. So I think you're on the right point. And if there are signs of life there, we'll do our best to stand the flames, but I think that would be a big piece of the market to watch to see how we might do in the future.
Operator: And that does conclude our Q&A session. Please go ahead with any closing remarks.
Dan Lesnak: Thank you, Cathy. We certainly appreciate everybody's interest. And as John said, we certainly appreciate the effort you took to join us today. And we look forward to being back with you in late January with our recap of the year and some discussion on next year.
John P. Surma: Hope everybody stays safe. Thank you.
Dan Lesnak: Thank you.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay after 4:30 p.m. today through midnight, November 6. You may access the AT&T Executive Playback service at any time by dialing 1 (800) 475-6701 and entering the access code 267101. International callers, dial (320) 365-3844 using the same access code, 267101. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.